Operator: Ladies and gentlemen, welcome to the Annual Report 2024 Conference Call. I'm Sergio [ph] Chorus Call operator. I would like to remind that all participants will be listen-only mode and the conference is being recorded. The presentation will be followed by Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Jens Lund, Group CEO. Please go ahead.
Jens Lund: Thank you very much and welcome everybody to our conference call on the full year 2024 results. We will do it as we normally do. Michael and I basically go through the presentation, and then we will go to the Q&A session afterwards. So, if we go quickly to Slide number 2. You can see the agenda for this day's call and also the forward-looking statement as well. Please ensure that you read that carefully. And while you do so, I suggest that we quickly move on to Slide 3. Well, we can talk about some of the highlights from 2024. So, we saw basically a solid performance in our company for the year. We have now, for the third quarter in a row, outgrown last year when it comes to GP and also results wise. So, I think it's a solid performance we have seen in that. I think the commercial approach that we have put in place has ensured that we have growth in all the business areas. And I think it's also going well when we talk about the Schenker transaction and how we're doing on the regulatory approvals. We've guided also for next year a number between DKK15.5 billion and DKK17.5 billion. So, all-in-all, we think that we are off to a solid start here in 2025, and we base it on solid results for 2024. I will come a little bit back to productivity when we come to the notion here, if we skip to the next slide, Slide number 4, where you can see that we've actually managed to grow the GP as well as the EBIT, the marginal conversion ratios are a little bit higher than the average conversion ratio, which is also something we have seen in the past. I think still we see some pressure when it comes to inflationary pressure on the wages and the cost base. I think that's tapering off now. We come into a more normal scenario. But of course, as you can all remember, when we had higher inflation, there was increases in wages and that's sort of also been the case in 2024. If we look at the productivity, we now handle 16% more jobs per FTE. And if we look at also then that we managed to grow our GP. I think our largest division being more than 70% of our EBIT, it is rock solid, what we are producing here. And we are very confident that we can continue this development also in 2025. If we move to the next slide, Slide number 5, you can see the numbers for air freight. Here, we have grown our GP compared to the same quarter last year. And we've also grown our volume. We believe that we have outgrown our addressable market on volume. And if you look at the yields, I think they've been fairly stable throughout the year. But of course, compared to the same quarter last year, they are a little bit lower. We expect that the volumes that we can achieve in DSV for the next year is also going to be outgrowing the market. And we have solid pipelines with our customers that indicates that we will -- we don't know it for the full year. But of course, we know it for the beginning of the year that we are on a good path to continue to drive volumes forward. If we move to the next slide, Slide number 6. We can also have a look at the ocean freight. And here, of course, we can see a significant development in the gross profit. Some of that comes from volume growth. Here, it's also estimation that we've outgrown the market. We've at least certain market data available plus PS as well that have reported. And they've been more in the 3%, 4% range. The numbers that we have available here, so also a significant outperformance. But as you can also see the yield is affected by the Red Sea situation. The last couple of quarters, we have had a yield of approximately 4,900 where we early on had a yield more in the 4,500 range. So, that has had an impact on the GP. I think we will see a higher yield level at least going into the year and then we will see how the whole situation globally depends on what the container rates will do as well. So, I think that was the comments to the ocean freight, then we come to Road. Here in Road in the quarter, we've had a weak result, I think that's fair to say. There's been basically a couple of explanations for that. There's kind of a one-off adjustment in the U.S. while we had to provision for some owner stuff we had to take care of that. So, that's been the one adjustment. The other adjustment is kind of a little bit more structural, where we, of course, are working in a European market where the economy doesn't grow. There's a lot of extra complexity being added with various types of reporting, et cetera, that also drags the energy out of the many companies in Europe because they have to focus on that. So, that puts a lot of pressure on the transportation market in Europe. And since the volumes, they are not really growing a lot, there's pressure on the transport and logistics companies. And I think we're going to see that pressure for some quarters until the market sort of adjusts to the new norm, if we can put it like this, some of the sectors that are particularly affected is sectors like automotive, but also other industrial companies are affected as well. And then, of course, the low consumption on the retail side doesn't help us in Europe either. So, I think there's nothing wrong with our Road company or activity, but we need to right-size to the market and the market needs to adjust as well. And then we will probably see a situation where we go back to the normal levels. We already expect that in the first quarter, we will see some progress because some of the things we have adjusted will not be there here in the next quarter. So, all-in-all, a little bit different outlook on the Road side this time, and we are confident that we will drive the productivity up again, and the results will come back to what we've seen before. And then on Solutions, I think we've grown solutions a lot in the year. Here in the last quarter, we've had more a flat development. I think it's also a little bit connected to what goes on in Europe in general. And then we have focus. If we look at the pipeline, we are in a solid position where we get new volume in. So, we're going to see growth also in 2025. But there's been a pause here in the fourth quarter. And then, of course, we've added extra capacity, and we've had some added capacity as well. I think that is visible in the numbers. It's not falling off a cliff. But of course, we have to ensure that the capacity we have available and the volumes we produce, they match. Otherwise, it will be visible in the numbers immediately. And that's also a little bit what you can see when it comes to the Solutions division. But overall, I would say one thing more, we are very focused now on the ROIC debate because we have allocated too much resource to solutions so that the ROIC has been declining, and it's a serious matter we need to address. I'll just say on Solutions, it's vital that we have these activities, in particular, for many of our larger accounts because they basically ensure that we can deliver more end-to-end service to many of our larger customers. But still, we need to look after how we consume capital, and you can rest assure that this is very high on the agenda. Then if we go to Slide number 9. We have the NEOM JV. I think it's fair to say is that it's evolved significantly slower than we had expected. And there is some activity, but it's taking a lot of time. There's a lot of red tape in many aspects on NEOM. So, I think going forward, we will probably not necessarily have it as a specific item on our sort of quarterly updates until it has a relevance, significance sort of, that makes it relevant for these calls. We can say that we follow all what can I say, the code of conduct and whatever it is we need to do in order to stay compliant. And then we will reduce the resource we have available in NEOM so that we are certain that the capacity we have in place, it matches the demand at the NEOM project. So, I think that's what we can say on NEOM for now. Then I can rest my voice a little bit and hand over to Michael. He will go through some of the details when it comes to financials, et cetera. So please go ahead, Michael.
Michael Ebbe: Thank you, Jens. Don't rest it too long. Yes, if we go to Slide number 10, there are some usual highlights of the P&L and just a few things that I will emphasize that is worth mentioning. Obviously, the strong growth that Jens talked about, especially on Air & Sea. You can see that in the revenue, where we have nearly a 20% growth on the revenue line impacted by the volume, but also as particularly mentioned, the freight rates. Some have talked a little bit about 2024 compared to 2023 when it comes to the results. And we've talked about it before. Jens also mentioned, we are happy to see that we in the second part of 2024 actually saw increase in EBIT in fixed currencies compared to same period last year. So, we are on a good track on that one. The cost base, Jens mentioned a little bit about it, is impacted, of course, by the inflationary pressure, salaries, licenses also coming into this. So, you can say the cost initiatives that we have implemented, you cannot see them in full on the cost base. You have to bear in mind that, that also goes to the GP level and depreciation level and such. So if you are looking for specific numbers, you have to get back to Investor Relations as well on that one. Last thing on the cost base in the fourth quarter. Obviously, we are also looking ahead of the Schenker acquisitions as well. So, an integration, it can be that we should -- we have not taken all costs due to that. Interest costs goes without saying it's impacted by our successful share capital increase in the autumn of last year. Share buybacks, we had share buybacks until September, where we stopped it due to Schenker acquisition. And obviously, that has a positive impact. But then quite offset by the equity offering that we saw. Tax rate continues to hover around 24%. So, if we go to Page number 11, I think what most of you have read already is that our working capital increases, it's DKK4 billion increase. It corresponds actually to the DKK4 billion that we see in the Air & Sea division. So, that has clearly impacted the volume growth, it is clearly impacting the working capital at year-end. Of course, we are also worth mentioning again the cash flow that we received from the equity offering and also when we issued the bonds that we have issued in order for us to be ready to finance the second transaction when we get to closing. Net working capital, again, as said, it's impacted, you can say, by the large increase in Air & Sea. And then the temporary, you can say, tied up a little bit more than what we have expected in the property, which hopefully will release here in first quarter, part of it at least. Our ambition is still to reach 3% long-term net working capital, but also, of course, things need to stabilize a little bit and help you say constant volume as well. Gearing ratio you've never seen that before. It's 0.0. Have to bear in mind that is due to the fact that we have done the share capital increase. So if you adjust for that, our gearing ratio will be around 1.7, which is more or less what we normally said that we will guide towards. And then on next page, Page number 12, you can see the allocation to the shareholders. As I said before, normally, we do the share buybacks, decide them every quarter. Given the Schenker acquisition and integration, we have posted. So that's how it is. And we have bought share buybacks in 2024. And then imported. I think, yes, and then there's a proposed dividend for DKK7 per share, which our Board recommended yesterday as well. We still have, you could say, an unchanged capital allocation policy. So the stop in share buyback is due to the fact, again, the acquisition of Schenker. And of course, when we get within our guided range, we will pick up that again. But first of all, we need to get Schenker in place of that one. Next slide is also on Page number 13. Jens already mentioned a little bit. This is our guidance for 2025. Of course, we have to guide on the premises that we have right now, meaning that this is DSV standalone, excluding Schenker. We have guided the range between DKK15.5 billion to DKK17.5 billion EBIT before special items. We expect the global Air & Sea freight market to grow around 3% in 2025, in line with the forecasted GDP growth that we can see in different sources. Jens also talked a little bit about our yield. We assume slightly to lower yields in 2024 for both Air & Sea. Jens touched upon it before. Same goes a little bit for the Road business, predominantly in Europe, obviously, is impacted by the market. And the things that Jens talked about. So we expect flat to single-digit growth. And then, of course, we have a lot on that one. We have a range of DKK2 billion. It's reflecting, of course, the uncertainties, macroeconomic and geopolitical environment remains uncertain. Every day, when we wake up, we can see new things coming, especially on the other side of the sea, the great sea. So I think that's about it. And again, that's how we see the outlook for 2025. Next slide, on Page 14, I can take that one as well. This is Schenker acquisition. As said before, we have the financing in place. We have issued shares for DKK5 billion and issued bonds for DKK5 billion. We have commitment from our core banks for DKK3 billion. So, we should be able to finance the total transaction when we get to the approvals. We are still working hard to get the last approvals. We are currently standing at 33 out of 36 approvals, but it ain't over till we get the last approval, obviously. We expect still that, that can -- that will happen in Q2 2025. And when we'll get to closing, we will, of course, give some further details about how we see the transaction and how 2025 can pan out, including some words about the synergies. So you will have to wait to the closing until we can get that. Yes. So, I think this is the last slide from our side. What we would like you to bring along here is that we are happy to see that we have rebounded our earnings, you could say, the strategy seems to work quite well with now three quarters above-market growth, fantastic so far. We are on track for the Schenker closing. And as Jens mentioned, the guidance for next year stands at DKK15.5 billion to DKK17.5 billion with a tax rate of 24%. This is what we guide for the next year. Then I guess a lot of you guys have some questions. So, let's go to the Q&A.
Operator: [Operator Instructions] Our first question coming from the line of Dan Togo from Carnegie. Please go ahead.
Dan Togo: Yes, thank you. Relating to your organic growth, happy to see, of course, that you can continue to outgrow the market here in Q4, and you expect to continue that going into 2025. Could you give some words on how you see organic growth during the integration process of Schenker? Will you continue to outgrow the market underlying? And then what have you, sort of say, installed to support organic growth in that space? That would be the first question.
Jens Lund: Yes, I think if we look at the organic growth in an integration period, it's typically a little bit lower than you would normally achieve. I think that, that has been the case. And of course, then there's also when we buy a company with typically actual factor in that we will actually lose a little bit of revenue as well. I think the assumptions on that are probably the same. I think, what can be a little bit different this time compared to the last time we've acquired companies is that we've become much stronger in DSV and the way we organize and approach the market with our customers. And this is mainly due to a much clearer customer segmentation and a much more structured way to approach than the individual accounts. So, I think that these initiatives will help us to continue to develop these accounts also through an integration phase. I also think we can counter the loss of volume on Schenker by applying the same approach. I think it's fair to say if you see how it's worked in DSV this year, we can't help us from being a little bit optimistic also applying this approach on the Schenker side. So, compared to previous transactions, we should on the DSV standalone, I mean we can discuss what this could look like, but then we should be able to do a little bit when it comes to growing our existing business and then we should also hopefully manage the integration in such a way that we lose less volume than we have done before. Then I think we can say that this will basically make the Schenker transaction an even more attractive business case. So, that's our aspiration then.
Michael Ebbe: A better starting point than we had before.
Dan Togo: Sorry, I didn't hear the last part.
Michael Ebbe: I think we have a better starting point than that we have had previously.
Dan Togo: Okay, yes, sounds good. And then just a question on what you said Jens during your presentation, rightsizing the Road business. Is that in terms of FTE? Or does that also include your client pruning? How should we interpret that?
Jens Lund: I think if you sit and look at the Road business, we are almost on certain products up 10% in volume. It's international group business that we are talking about. Then we have certain activities within certain segments, perhaps where we are not able to deliver, what can I say, the results that can justify to continue these activities. So, I think we will swing towards what can I say, a situation where we focus on the business areas where we have generated progress and then we will try to reduce the exposure to areas where we have been less successful. So, I think that, that is going to happen. It's a gradual movement where you do this. Then I think if you look at, for example, here in December, of course, it's impacted by, let's say, the automotive industry is shutting down for a longer period in time. The way we contract with them is historical, this is then where we take the full exposure on that. That will then, for example, impact our results as well. So, we then have to find another way because we cannot have capacity available that is not being paid for as an example. It simply is not feasible for us to have such resource present when it's not needed, and then we don't get paid for it. So, that could be something we would look into. And then there are multiple areas like this where we will go in and adjust to the new situation that we see in the market.
Dan Togo: That’s good. Thank you.
Operator: The next question comes from the line of Alexander Irving from Bernstein. Please go ahead. Mr. Irving, your line is open. Okay, we'll go with the next question then. The next question comes from the line of Cristian Nedelcu from UBS.
Cristian Nedelcu: Thank you very much. The first question on Road and Solutions. Your Q4 EBIT is roughly DKK200 million lower than a year ago. So, looking at 2025, how should we think of EBITDA in Road and Solutions versus 2024? The second one is a bit on the Schenker underlying, and I understand you cannot provide any guidance, but we are in a world of declining ocean rates, you presented a difficult market enrolled for the first half. During your due diligence on Schenker, were the elements that reassured you that the profitability they had in 2024 is the new normal or the GP per unit is not excessively high over the last few quarters there and it could drop more meaningfully. So, any reassurance that you've come across during your due diligence that, that DKK1 billion of EBIT is the underlying profit start point there? Thank you.
Jens Lund: I think if we take the Road and Solutions business, I think basically that they will combined produce similar figures as they have done in 2024, perhaps a little bit better maybe on Solutions -- on the Solutions side. I think that's basically kind of what we expect out of these businesses. When it comes to Schenker, I mean, it's hard for us to comment on their figures. They have published some biannual number. I think that is the public information that is available. Of course, we have a business plan, a business case and we've done our diligence on that. And I don't think that the numbers that you've seen reported on the biannual part, they are out of the ordinary. I think that's what I can comment on that. We will be able to give a little bit more clarity. Of course, there's always things that are debatable when you report and is it a recurring item or not, but as I said, basically it's a sound company that reports sound results.
Cristian Nedelcu: And the second one, maybe a short quick technical one. Your cost base, I think, went up in 2024 by around DKK800 million year-over-year for your P&L. Broadly, how should we think about 2025 versus 2024 on the cost base? I know there are a couple of moving parts there, but, yes. Thank you.
Jens Lund: I think -- if we look at it, of course, we have seen as I also mentioned that we've -- we've had a high inflation period and, of course, the salary adjustments over the -- they basically reflect that in the year. On top of that, there's also been significant increases in IT licenses. And then I think there's one thing more we have to remember as well, the new reporting requirements in the EU, where they have also added a three-digit figure in extra costs for us to produce that reporting. You have to remember that we are 400 units that report in DSV in 80 countries. And when you have to collect numbers for that type of reporting, it is an extensive and very, very costly undertaking. So, I think we also have to mention that. So there's been a lot of pressure on many of those things. I think the inflationary pressure is going to ease off. The IT licenses, I guess, they will continue to be increased. But I think now the reporting requirements is part of our baseline. So, it will still drive tremendous cost. And I mean we have difficulties to understand what can I say, what the value is. But I'm sure that there will be more discussions about that as we go along and then we see where it all ends.
Operator: The next question comes from the line of Robert Joynson from BNP Paribas Exane. Please go ahead.
Robert Joynson: Good morning Jens and Michael, two questions for me, please. First of all, on the current volume environment, both Road and Solutions you mentioned, reached the normal seasonality in Europe during Q4. Could you maybe just drill down into that a little bit more? And maybe provide some color on what you're seeing with respect to consumer spending? And also if you're starting to see any evidence of headwinds from inventory destocking? That's the first question. The second one on the potential reopening of the Red Sea from a shipping perspective, are you starting to receive any indications from the container shipping lines that they may start to reuse the Red Sea route once again over the coming months? Thanks.
Jens Lund: If we look at the volume development, I think, as I said, we've seen that there's been longer shutdowns in the market that has definitely had a serious impact on our December results. I think for January, we expect, what can I say, a normal production month, so that the volumes we'll produce there should be as expected. I think on the destocking side, I would probably think that if there is something right now over the risk of tariffs, it's perhaps that somebody tries to push more volume through, but it's not something that we really have been able to see in the numbers. In general, you know that there has been a destocking if you go a little bit further back. There's definitely been a destocking. We can see that also on our utilization rates of our warehouses used to be at 89% or 90% utilization of our multi-client facilities. And currently, we're running at 83%. So, that means that most customers have actually reduced their stock levels a little bit. I think now money gets cheaper in certain parts of the world. So, these calculations might also differ because the interest rate has come down, not in the U.S., but certainly in Europe. So, that might also lead to a different take on that from the people that run the supply chains. If we look at the Red Sea, I don't think that has been a big, you're sort of part of the debate right now. I think people they are waiting to see what will actually happen. I think what is currently driving the market is the new alliances and that there is a situation where the volumes they didn't have to shift into this alliance or another alliance. And it seems like they are competing a little bit right now to fill up the vessels. And it's not now perhaps as volatile as it was just in the beginning, but I believe it's a very competitive situation at this moment in time where everybody wants to make sure that in the new situation, they get their locations that they need, so that's probably the main driver right now. And as you can see, the rates they have come a little bit off because of that. But it's hard to tell you what will actually happen. So, for now, we monitor it. And of course, the customers they contract a little bit shorter because they don't really want to get caught out on a long-term arrangement. So, I think that's the situation when it comes to the Ocean part.
Operator: The next question comes from the line of Alexia Dogani from JPMorgan. Please go ahead.
Alexia Dogani: Yes, good morning Jens and Michael. I have two questions as well, please. Just firstly, can you give us an update on the Schenker regulatory approval timeline? I think before Christmas, you said you were 50% of the way. Where are you now? And clearly, we're waiting for the U.S. and the European Commission to conclude. Can you just help us understand where we are in regards to the process for these two countries? I heard you what you said with regards to kind of Schenker performance to-date. But I understand you might have some visibility on kind of monthly performance. Can you indicate at least whether we should be looking at an H2 Schenker performance similar to how these reperformed, especially given kind of roads and important segments of them? So, that's my first question. Then second question is really on cost performance. I believe in Air & Sea, cost was slightly inflated perhaps because you're holding on to some cost before integration. Can you help us quantify the magnitude of those costs perhaps? And similarly, if you can give some color around the DKK800 million cost improvement plan. Is that fully embedded? Should we expect some kind of drop through more visibly in 2025? And just to clarify on your previous answer on the Red Sea, the yields being slightly down. Does that assume that you are expecting the Red Sea not to resolve in 2025? Thanks.
Michael Ebbe: I think I will start. We had difficulties in counting whether it was two questions. But I'll give it a shot for some of it. And then, Jens, you can take over for it. I think an update on the Schenker, it's correct that we now have 33 out of the 36 regulatory approvals. And among the three remaining, it's -- like you also said, Alexia, it's U.S. and it's the European Commission. And we are in a very good dialogue and have frequent virtual meetings. We also have physical meetings in order to cater for all those questions that they have. So, it actually continues as is, but I don't know whether it's a big secret, but I don't think that they get rewarded to do things fast, but they're awarded to avoid making mistakes. So, they have many questions, but of course, we answer them and we move on. So, we are still targeting Q2 as we also said initially. Maybe I can give you on the cost performance. And then, Jens, you can take the other ones on Schenker and rates. It's correct that there is a slightly increase in cost. I think Jens has already talked about it, the salary inflation, the license costs that we have seen. And then, of course, also one thing is that in Q4, we have seen the growth in Air & Sea. Also bear in mind that on average, the productivity in Air & Sea increased 16%. So, -- but of course, that is something that we have seen into it. So, -- and as Jens said before, looking into 2025, stable to slightly inflationary increase. That is what I would go for.
Jens Lund: Good. Then on the Schenker performance, I mean, it's Schenker, I think they have certain areas, certain verticals where they do really well. They're really strong on tech. It's a strong vertical that has an impact on all the relevant business areas that produce volume in the tech area. So, I would say this is an area where they are doing well. I think they also have some exposure to Europe, so they will also be suffering some of the industrial companies and automotive areas as well. They probably also have, what can I, a similar situation like we have here in DSV. So, I think there are many similarities when you look at the numbers, so that you can read into the Schenker side as well. I think that's then what we have to address when we integrate the two companies so that we have the right capacity available for the sort of new market situation. Then on the Red Sea, I didn't say anything about the yields on the Red Sea, but if we take ocean freight I think that we've also said to you that 70% of our GP, it's fee driven. So, it's not necessarily because that we consolidate and procurement and all these things. So, I think that's -- it's a very stable situation we have when it comes to our yield or our GP. I said the Red Sea, it's on the rates. I don't think that the rate decline, it's sort of being driven by the Red Sea. I think it's being driven by the four new alliances. So, that's been driving the rate levels right now until they stabilize. So, I think that's the situation we have now. As you know, MSC, they have their own alliance and then we have the Germany alliance as well. So, new big alliances that have an important size in the market. Of course, that drives some volatility right now and it's hard to predict where it ends out. If we then look at the Red Sea, people, I think they wait and see what will the impact be. And this is also how our customers they contract because nobody can really predict what is going to happen. There's been so many scenarios that also if I look at our own team that follow this, it's hard to say what will the outcome be. And I think that's how our customers stay contracted.
Alexia Dogani: Thank you.
Operator: The next question comes from the line of Ulrik Bak from SEB. Please go ahead.
Ulrik Bak: Yes, hello Jen and Michael. Thank you for taking my questions. Also two here. Just on Road, your conversion ratio clearly dropped quite a bit in Q4 versus Q3. So, it would be very helpful just to understand the magnitude coming from these one-offs and what was sort of market-driven? And also in that context, how much should we see the conversion ratio recover based on the price increases that you're also implementing? And also just to add on, it seems like you will be exiting some business. So, when we come to the other side, should we then actually potentially see higher conversion ratios or higher margins in this division? Thank you. That would be my first one.
Jens Lund: I think if you look at the conversion ratio and in the last quarter, I would probably estimate that half of the impact that you see is probably related to more one-off, can be 40% to 50%, at least that is the one-off part. Then, of course, the conversion rate. So, I don't see that we shouldn't get back to the numbers in Road that we typically produce. But I believe that 2025 is going to be a difficult year for us. And then of course, we will more sell into areas that work well for us and then we will probably when some of the contracts in other areas they expire, we will reduce our exposure to those areas. Of course, we will still produce for automotive, but it might be that in certain cases, if we've had contracts that didn't generate a return, we have to, of course, abandon them at the end of the day. So, I think that's what we can say on that.
Ulrik Bak: That's great. And then second question on solutions. You state that profitability has been negatively affected by lower utilization as we ramp up new capacity. So, where in the cycle are you now? And also towards your comments about focusing on the ROIC level of this division. So, what are you planning to do to safeguard that or improve it in 2025?
Jens Lund: We are already trying to reduce the capacity we have available and consolidate. It's an ongoing exercise. We will also go in and see how we basically approach the way we run the leases on the facilities as well. So, I think that's -- and then, of course, the construction projects, we try to reduce, what can I say, the impact of failing to bank roll them in the construction phase. So, we might also contract that a little bit. That would probably be the levers that we will use in order to move in that direction. And then basically, we have now a list internally with sites that don't deliver, what can I say, a satisfactory return on invested capital. And then basically, we have either recovery plan or an exit plan for some of those sites. So, I think that's a structural way of addressing this topic. The thing with this is it takes some time, but we should hopefully see some improvement gradually so that we quarter-on-quarter can see that we get into a better state.
Ulrik Bak: Thank you.
Operator: Next question comes from the line of Muneeba Kayani from BofA. Please go ahead.
Muneeba Kayani: Yes. Good morning. Firstly, just in terms of the 4Q performance. If I look at your -- you raised guidance with your 3Q results. So, did November, December Road and Solutions kind of turn out to be weaker than what you were initially expecting? And then secondly, you announced some Board changes a few days ago. If you can talk a bit more around that and what resulted in those changes? Thank you.
Jens Lund: Yes, I think you are right that basically, as I also said, December was a tough month because there were more shut downs for a longer period in time than expected. And I think that was probably also a little bit visible in the November volumes as well. So, I think you're spot on when it comes to that. I think on the Board changes, I mean at least the intention is that we get a more international Board in and of course, also given the fact that we acquired a German company, I think it's relevant that we get some competence in that also understands the German market and all the German stakeholders. So, I think that's basically the changes that we are driving in the Board.
Operator: The next question comes from the line of Lars Heindorff from Nordea. Please go ahead.
Lars Heindorff: Good morning. Thank you. Two questions from me as well. The first one is if you can help us a little bit understand the components of the revenue development in Road and Solutions, you had Q2 and Q3 revenue growth of 9% and 10%, respectively, in Road and then down to 2% in the fourth quarter. In Solutions, you're growing from 17% and 20% growth, respectively down to zero growth. I mean is this simply caused by the closures that you talk about? Has the market deteriorated that extent really from the third quarter to the fourth quarter? Or what are the components also in terms of volume and price? Thanks. That's the first one.
Jens Lund: Yes, I think you're right, Lars, that the volumes they have, what can I say, or the activity level has definitely shifted. It's got also to do and let's say, in Solutions, when do you implement contracts and what is happening also on the individual contracts as well. And then it's some significant fluctuations. If I look at the pipeline, into the next year, I think we're going to go back to having growth again. So, hopefully, it will only be a glimpse if you look at what we reported in the fourth quarter. So, I think that's basically what we can say on that. But for example, on the Road side, the shutdown is significant. I think we can put it like that. And that also, of course, has an impact on some of the stuff that we do in Solutions. I also think on the Solutions side that perhaps we didn't really have, what can I say, on the retail side at the end of the year that we'd expected either. So, it's definitely been a little bit slower. As I also explained our occupancy ratio in the warehouses is down and the number of order lines and also the size of the order lines is very important. It's also affecting this. So, we ship perhaps more order lines, but they might be a little bit smaller per shipment. So, I think all these things, they drive this negative development. So, we have to see that it plateaus and then also ensure that we have enough in the pipeline so that we can drive it forward in 2025.
Lars Heindorff: Yes. But have there been any material change sequentially into the -- from the third quarter to the fourth quarter in terms of market volume growth or market pricing?
Jens Lund: Yes, as I explained what can I say, there's probably been less volume for us in the fourth quarter due to the shutdowns and also certain dynamics. It can also be specific customers that do specific things as well. So, I think that's the explanation we have.
Lars Heindorff: Right. Then the second part is on the net working capital. Michael, you mentioned that also in your presentation. Can you say how much is sort of an ongoing a normal level in terms of what you have in terms of the property and what is sort of more operational reflected? What should be in terms of your network capital on a normal basis?
Michael Ebbe: I think we -- like I mentioned before, the biggest, you can say, impact on net working capital is obviously the growth that we've seen in Air & Sea due to rates and volume. This is DKK4 billion compared to the same period last year. So, that, of course, need to stabilize. Then we have, you could say, a temporary delay in a property project that is also impacting the year-end net working capital. It's clear that we work hard to get back on track with the 3% range in net working capital. So, that is what we believe that we can do and most likely, it will take a little bit not necessarily in the first quarter, but this is what we need to do.
Lars Heindorff: Thank you.
Operator: The next question comes from the line of Marc Zeck from Kepler Cheuvreux. Please go ahead.
Marc Zeck: Good morning from my side. Two questions, if I may. First question, maybe more related to the current developments in global trade. If I'm correct and the latest, let's say, difficulties between China and D.S. led D.S. to abolish the de minimis tax exemption or tariff exemption for goods. Is this something that will affect your air freight operations going forward or is the volume that you transport, not related or not driven by any de minimis exemptions at all going into D.S.?
Jens Lund: I think it's a twofold question. I mean we have very limited volume when it comes to, what can I say, these platforms. They actually contract themselves, capacity for a very large extent. It doesn't mean that we don't necessarily have something in the gateway here or there, but it's really immaterial. So, if you then look at this market and how does it work? I think it's fair to say that it's a disruptive business model they have. It's a marketplace where the manufacturer that produces a certain commodity can present this commodity on a marketplace that makes it visible to the buyer in another country. And then they cut out the local commodity buyer in China, they cut out the wholesale, they cut out the retailer. They cut out all these parts. And this means that, let's say, you want to buy a T-shirt and it normally costs, let's say, $50, then you can perhaps buy it for $10 instead. And of course, you can then put some duty on it and then it costs $15. Then if the consumer is still looks at it, they then will still save $35. If you look at it. And I think that's the dynamic that drives the e-commerce part. And it's really hard to stop. On top of that, I think these portals, they will now also be flooded with cargo. Many Chinese manufacturers have moved out of China and into other jurisdictions as well. And they might then produce the volume from there. Just as I explained on the ocean freight, that the largest origin place is now Vietnam, not China to the U.S. I think the same thing will happen with these things. It will find a new norm, and then we will continue. But for us, it's not material what we do in this aspect.
Marc Zeck: Understood. Second question then again, on Road. And I guess, what was discussed much more intense than previously. For me to really understand what's going on? Does the automotive industry provide kind of a baseload volume for your [indiscernible] business? And is that one of the reasons that kind of leverage or the operation leverage was negative in the fourth quarter and now going into next year? I don't see that much improvement on the unbilled motive industry, or the tariff uncertainty that it's still ongoing. So is -- can you replace this baseload volume, if it's really baseload volume with some other industries? Or in case the European automotive industry is kind of permanently impaired, does it really make sense then to have that group business if the baseload volume is there?
Jens Lund: It's not a group's business. It's a dedicated business into the factories that we're talking about. But then if you run that kind of operation, then you need to have the capacity available. Then let's say, for example, that you run rail volume, then you pay for the rail, whether you use it or not, that could, for example, be the case, if we should get very specific on it. And there are other areas where you have similar situations. If they then shut down the factories for a longer period in time, then you have this problem. And this was also what I explained, then we contracted like this, for example, this has been the norm. But now, of course, it's more volatile and then we have to figure out how do we address this? What is it that we can produce and where is it that we take on exposure that we don't get paid for. So -- but I don't get it confused with the group's network. It's separate to what can I say, activities with milk run, what can I say, type of activities that you basically do for this. It's not the only place where there's been shutdowns. But of course, it's an area where you would have significant capacity of that type that I'm mentioning right now. So, I hope that makes sense for you. It's got nothing sort of -- there's very limited overlap to our group's network. The group's network is many types of cargo and not really related to milk run activity.
Marc Zeck: That’s helpful. Thank you.
Operator: The next question comes from the line of Peter Sehested from ABG. Please go ahead.
Peter Sehested: Thank you very much. Given time, I think I'll just stick to one then. Pertaining to the Schenker integration. Could you give us some high-level thoughts on the two components of integrations. First of all, IT? Second one, what you can do on the warehousing side also in respect to -- so on IT, you mentioned Schenker has some very big IT tech clients. And assuming that they are actually global distributor for one of them, and they are probably very, very tied up to their Tango system. Could you, at this point, give some preliminary thoughts on how we should view the IT integration competitor part? I think the last one you did it in 12 months, but it seems at this time, we have to take some much harder discussions as you are dealing with clients that may be strategic for both you and Schenker. And on the warehousing -- sorry, the Road and Solutions side. I mean do we simple look at where sites are, as you're shutting something down. You might close warehouses collecting them. But I think it's all -- so my question is will there be a sort of overall optimum parcel that you are trying to solve when you combine those two warehousing/terminal real estate businesses? And how should we think of that, either conceptually in order to gauge the potential for revenue synergies here, sorry?
Jens Lund: Yes, it's a couple of complex things. I'll just answer the last one first so that we get that. It's correct that, as I said, it's actually not, it's not a threat. It's an opportunity that we now can right-size the two companies by combining them to the current activity level in the market. So, we assess what is needed and then basically we can right-size that. It's a normal part of the exercise, what is for capacity we need and then basically, how should our infrastructure then look and what is it that we have and what is it we need to develop, if that is the case. Then we have the right tool for a very productive staff, so that they can deliver good service to our customers. So that's the one thing I think that's definitely spot on what you're asking about. This is what we're going to do. When we talk about the IT side, I think what we have in DSV that is exceptionally strong is our integration platform. Then we integrate to the customers. We're already integrated to many of the customers. We haven't seen Schenker's customer list, but we, of course, have a pretty good idea who is our competitors on the various customers. So, we are integrated already to many of them, so we can move those flows to DSV. Then actually, our system is so strong that we can quickly make an integration to the Schenker platform as well and then we can send the volumes back to their system. This gives us time and flexibility to plan how we want to produce the volumes going forward. I think that's also we have actually backfilled also, what can I say, other systems over the years when we have acquired companies. And I think we will be able to do this with Schenker. It's a common methodology that we have in our company. So, I think that should work out. I actually think that many of the customers you're alluding to, we also produce volumes for. We just have smaller exposure, but it's similar type of activity. So, I think the integration we have will also be able to cater for the things that Schenker do. Otherwise, we have -- we will have -- we have hired almost 250 extra people to do integration. We probably have in DSV and Schenker all together that we can sort of make it available for the integration task as well another 250 people. So, we will have 500 people, and then we will have a road map so that we will prioritize the most important things. Then you asked about the timeline, given the fact that Schenker is somewhat larger than, for example, the last acquisition we did of GIL, it will probably take a little bit more than 12 months this time because there's more countries and there are more customers and there's more activity. But I don't think that it will take more than two years to do the same thing on the Air and Ocean side, and I specifically say Air and Ocean here, then -- so then basically, it should be integrated. It should be functioning as one company, and the planning and the plans for that and the capacity that we need should be in place. And I think we might find that we have many overlapping customers, where we may have less volume than Schenker, also where we have more but we can utilize basically the integration platform we have. This is our strength, our integration platform. It has an enormous value.
Peter Sehested: I just want to follow-up to my first question, what -- how much time would it take to achieve A, let's say, optimum network setup for the road and logistics real estate infrastructure?
Jens Lund: I think on the Road side, it would typically take three years or something like that to get there. So, of course, you do the things that are most important first. And then but it might be you have to construct something. But you will get a lot of benefits first, and then, of course, on the contract logistics, if you really have to consolidate into some large facility, it might take a little bit longer, but many of the things can be done fairly quickly.
Peter Sehested: Thank you very much for those answers. Appreciate it.
Jens Lund: Thank you very much for listening in. I think we've run over time. So, thank you very much for your interest, and thank you for all the employees of DSV that probably also are listening in. Thank you for your efforts in 2024. It's really appreciated. We are ready for 2025. I think the company is in a good position. And we look forward to speaking to all of you on our next quarterly call. Thank you very much. Have a good day. Take care.